Operator: Good morning. Welcome to the Trane Technologies Q1 2021 earnings conference call. My name is Mariama and I will be your operator for the call. The call will begin in a few moments with the speaker remarks and the Q&A session. [Operator Instructions]. At this time, all participants are in a listen-only mode. I will now turn the call over to Zac Nagle, Vice President of Investor Relations.
Zac Nagle: Thanks operator. Good morning and thank you for joining us for Trane Technologies first quarter 2021 earnings conference call. This call is being webcast on our website at tranetechnologies.com where you will find the accompanying presentation. We are also recording and archiving this call on our website. Please go to slide two. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of federal securities law. Please see our SEC filings for a description of some of the factors that may cause our actual results to differ materially from anticipated results. This presentation also includes non-GAAP measures, which are explained in the financial tables attached to our news release. Joining me on today's call are Mike Lamach, Chairman and CEO, Dave Regnery, President and COO and Chris Kuehn, Senior Vice President and CFO. With that, please go to slide three and I will turn the call over to Mike. Mike?
Mike Lamach: Thanks Zac and everyone for joining us on today's call. Please turn to slide three. While the pandemic continues to present significant challenges around the world, our strategy as a global climate innovator remains steadfast. We are innovating rapidly to address complex and pressing sustainability challenges for our customers and for our planet. This is even more critical as the clock is ticking on climate change and the battle intensifies. Our aggressive goals and bold actions can dramatically reduce carbon emissions and accelerate the world's progress. We are committed to making a difference, consistently, relentlessly and over the long term. Our unwavering focus on innovation has been fundamental to our ability to drive market outgrowth and share gains in recent years and it continues to be a path forward for long term value creation. At Trane Technologies, we have never built strategies around episodic investments, which may increase for a year or two to drive growth and then slow in favor of margin or cash or any changing new priority. Our approach is markedly different. We remain confident in our ability to lead, precisely because our investments are continuous and ongoing. They are focused on a clear purpose driven strategy, a consistent operating system and goals and expectations focused always on top quartile results for our stakeholders. This relentless approach drives market outgrowth, which in turn helps us deliver strong margins and powerful free cash flow to deploy through our balanced capital allocation strategy. The end result is more value across the board for our team, for our customers, for our shareholders and for the planet. Moving to slide four. Our global teams drove exceptional performance in the first quarter, which positions us well as we look towards the balance of the year. We delivered broad-based market outgrowth and share gains in each of our segments and business units with total enterprise organic revenues up 11%, while at the same time delivering more than 400 basis points of margin expansion in every segment and for the enterprise as a whole. We delivered double digit bookings growth in all segments growing our backlog over 30% sequentially versus December 2020 and up more than 30% versus our already strong backlog at the end of 2019 heading into 2020. Adjusted earnings growth was also exceptional, up 135%. Although it's still early in the year and overall visibility remains limited, our strong quarter one performance, growing backlog, improving markets and optimism for improved vaccination rates gives us confidence to raise our full year 2021 guidance for both revenue and adjusted EPS above the high end of the prior ranges. We also continued to make excellent progress towards our transformation savings goal of $300 million by 2023 and expect to realize approximately $190 million in total savings in 2021. That's up from $100 million in 2020. These transformation savings help fund superior innovation, market outgrowth and share gains with sustainable, strong leverage. We expect our strong growth and leverage in 2021 to once again deliver powerful free cash flow which further strengthens our balance sheet and fuels our balanced capital allocation strategy. We have raised our capital deployment expectations for 2021 by $500 million from approximately $2 billion to $2.5 billion as we continue our commitment to deploying 100% of excess cash over time. Lastly, our core strategy remains focused on secular, sustainability megatrends of energy efficiency and sustainability which are becoming more pressing every day. A few weeks ago, we were one of just a handful of companies to achieve validation for our second set of science-based targets on our path to net zero carbon emissions. For those of you who know us well, you know sustainability as been at our core for a very long time. Our first of science-based targets were approved in 2014. And we achieved those in 2018. We also have revised our annual incentive compensation plan for approximately 2,300 leaders beginning this year to link directly to ESG metrics, including both carbon emission reduction and advancing diversity and inclusion. In addition, all salaried employs must now include at least one sustainability-related goal in their annual performance plans. Our commitment couldn't be stronger. With our purpose to challenge what's possible for a sustainable world, we are uniquely positioned to solve pressing challenges for our customers. This passion powers us forward to deliver top tier financial performance and differentiated returns for shareholders. Now I would like to turn the call over to Dave to discuss our bookings and revenue performance in the quarter. Dave?
Dave Regnery: Thanks Mike. Please turn to slide number five. We delivered robust organic bookings growth of 31% in the first quarter with growth across all segments and business units. We also delivered strong revenue growth in each segment. Our America segment delivered growth in both bookings and revenue, up 36% and 9% respectively. Our Americas commercial HVAC business has remained resilient since the start of the pandemic, delivering strong Q1 bookings growth of low single digits in the quarter. We are especially pleased with this performance relative to the mid teens growth comp in the first quarter of 2020, making the two-year growth stack for Americas commercial HVAC high teens. Revenues were flat in the quarter, which also represents strong performance relative to the growth in the first quarter of 2020, making the two-year stack, up mid-single digits. Services were up low single digits. The residential HVAC markets remain robust and our residential HVAC team delivered strong revenue growth, well in excess of 30% in the quarter as they once again grew market share. We entered the quarter with a strong backlog and exited the quarter with an even stronger backlog, putting us in a strong position entering Q2. Our Americas transport refrigeration business outperformed the North America truck and trailer markets in the quarter, delivering strong revenue growth, up mid teens and exceptional bookings growth in the quarter. Turning to EMEA. Our teams delivered 18% bookings growth in the quarter with strong growth in both commercial HVAC and transport refrigeration. Revenues were also strong, up 12%. EMEA commercial HVAC bookings were up high single digits and revenues were up mid teens, once again outperforming the market. We continue to see strong demand for our products and services that help reduce the energy intensity and greenhouse gas emissions of buildings. EMEA transport bookings were up over 20% in the quarter and revenues were up high single digits, outperforming the broader transport markets. Our Asia-Pacific team delivered bookings growth of 14% and revenue growth of 34% in the quarter, lapping a soft Q1 2020 that was heavily impacted by the COVID-19 pandemic. China continues to outperform the rest of Asia where number of economies are still struggling with the impacts of the pandemic and low vaccination rates. Now I would like to turn the call over to Chris to discuss our operating performance and margins. Chris?
Chris Kuehn: Thanks Dave. Please turn to slide number six. Dave provided a good overview of our revenues on the prior slide. So I will focus my comments on margins. Adjusted EBITDA margins were strong, up 460 basis points driving adjusted EPS growth of 135%. We delivered strong operating leverage in all regions supported by superior innovation for our customers, strong productivity and cost containment actions. Price cost tailwinds were particularly strong in the first quarter, driven by realization of premium pricing on leading innovation and pricing actions taken to remediate increasing material cost inflation in 2021. In addition, we maintained high levels of business reinvestment in innovation, technology and productivity. Please turn to slide number seven. In the Americas region, market outgrowth, cost containment, productivity and price drove solid EBITDA margin expansion of 400 basis points. Likewise, the EMEA and Asia-Pacific regions delivered strong market outgrowth, productivity and cost containment to improve EBITDA margins by 540 basis points and 1,160 basis points respectively versus 2020. Our market outgrowth in each region is supported by relentless investments in superior innovation to help our customers solve their most challenging and complex problems, fueling new product and service offerings. We delivered strong productivity from both our robust pipeline of projects and the structural transformation initiatives that we outlined at our December 2020 investor event. Now I would like to turn the call back over to Dave to provide our market outlook. Dave?
Dave Regnery: Thanks Chris. Please turn to slide number eight. Commercial HVAC Americas has significantly outperformed the broader markets since the beginning of the pandemic through strong focus, agility and execution, combined with relentless innovation across products and services to our customers. Demand remains high for comprehensive indoor air quality solutions and we continue to see indoor air quality as a long term tailwind for our business. End markets are mixed with continued strong data center and warehouse demand. The pipeline for our education end market is also strong. To-date, we have engage with many of our K-12 customers to perform indoor air quality assessments in anticipation of the time when federal stimulus funds will be made available. At this point the full impact and timing of the stimulus remains to be determined but it's clearly a multiyear tailwind for our business, given our strong presence in the education markets and our direct sales force with deep relationships in this vertical. End market indicators are improving with ABI over 50 in both February and March, both positives for the road ahead. In summary, though our visibility into some end market verticals remain somewhat limited due to continued uncertainty related to the pandemic, we continue to see solid prospects for continued underlying market improvements in the second half of 2021, given positive progress and trends related to increased vaccination rates. Turning to residential. We saw a record first quarter bookings and revenue which puts us in a strong backlog position entering the second quarter. Overall, we expect a strong first half and a challenging second half with tough comps in the back half of the year, given record bookings and revenue in the second half of 2020. Turning to Americas transport. We are expecting continued strong growth for the balance of 2021 as markets continue to improve. Orders were very strong in the quarter with many customers placing orders for the year. All in, we expect 26% weighted average market growth for the year, reiterating our prior outlook. Turning to EMEA. The recovery continues to be country dependent with some countries in additional rounds of lockdowns. It's early to call the recovery broadly in Europe, but we expect continued improvement in 2021 with increased vaccination rates in the region. Transport markets in particular are expecting approximately 8% market growth, given the current rate of economic improvement, reiterating our prior outlook. Turning to Asia. We expect continued growth in China in 2021. However, the rest of Asia has been slow to curb the virus and vaccination rates remain low. Overall, we see a mixed picture for Asia in 2021. Now I would like to turn the call back over to Chris to update you on our guidance for 2021. Chris?
Chris Kuehn: Thanks Dave. Please turn to slide number nine. Based on our strong first quarter performance our growing backlog and the expectation for an improving pace of global vaccinations, we have raised our full year guidance for both revenues and adjusted EPS for 2021. As Mike indicated earlier, we expect to deliver strong organic financial performance with organic revenue growth of approximately 9%, up from our previous guidance of between 5% and 7%. We expect to deliver strong organic leverage over 35% for the full year with organic leverage of approximately 30% for the balance of the year. We continue to see about 1.5 points of revenue growth from the channel acquisitions we announced last quarter, which will carry about five points of operating margin and deliver EPS accretion of about $0.05. All in, total revenue growth is expected to be approximately 10.5% and adjusted EPS is expected to be approximately $6 which translates to approximately 35% earnings growth versus 2020. Our updated guidance reflects both our strong performance in Q1 and an improved outlook for the remainder of the year. We also raised our free cash flow guidance with our increased EPS growth. We expect free cash flow to remain strong at equal to or greater than 100% of adjusted net income. If we project current FX rates out to the end of the year, FX would likely be a tailwind, albeit too early to call, given market volatility. Our FX exposure is largely translational and each point of revenue will translate at approximately transitional OI rates. Net, each point from FX would translate into about $0.05 of EPS. Please go to slide number 10. As we outlined during our investor event in December, by transforming Trane Technologies, we initially identified $100 million of fixed cost reductions by 2021. We have exceeded our initial cost reduction expectations, delivering $100 million of savings in 2020, a full year early and we expect to deliver $90 million of incremental savings for a total of $190 million in savings in 2021. We are now targeting and are on track to deliver $300 million of run rate savings by 2023. As we outlined in December, we will continue to invest these cost savings to further strengthen our high-performance flywheel which has a reinforcing and compounding effect over time. First, we invest a significant portion of the savings into unrelenting business reinvestments in innovation and leading technology. This fuels the second element, sustained growth above our end markets. Third, we invest another significant portion of the savings in to an improved the cost structure which drives the fourth element, improved and sustainable incremental margins at or above 25% over the mid to long term. When combined, this creates a compounding effect of high-quality earnings growth and free cash flow year after year. Please go to slide number 11. We remain committed to our balanced capital allocation strategy that is focused on consistently deploying excess cash to opportunities with the highest returns for shareholders. We continue to strengthen our core business with high levels of business reinvestment in high ROI technology, innovation and operational excellence projects which are vital to our continued growth, product leadership and margin expansion. We remain committed to maintaining a strong balance sheet that provides us with continued optionality as our markets evolve. We have a long-standing commitment to a reliable, strong and growing dividend that increases at or above the rate of earnings growth overtime. We continue to pursue strategic M&A that further improves long term shareholder returns and we continue to see value in share repurchases as the stock trades below our calculated intrinsic value. All in, we expect to consistently deploy 100% of excess cash over time. Please turn to slide 12 and I will discuss how we plan to deploy excess cash in 2021. Looking at full year 2021, after fully reinvesting in the business, we plan to continue executing our balanced capital allocation strategy and have increased our capital deployment target to approximately $2.5 billion, a $500 million increase to our prior guidance. We anticipate deploying the additional $500 million between value accretive M&A and share repurchases, taking the total target for M&A and share repurchases to approximately $1.5 billion for the year. In the first quarter, we raised our dividend by 11%, deployed $174 million to M&A and share repurchases and paid down $300 million of debt. We plan to retire an additional $125 million in debt as it reaches maturity in the third quarter of 2021, taking the total debt retirement to $425 million for the year. This guidance increase reflects our strong balance sheet and liquidity position, our commitment to deploying 100% of excess cash over time and our continued confidence in our ability to deliver powerful free cash flow to execute our balanced capital allocation strategy. Now I would like to turn the call back over to Dave and Mike to cover key investor topics of interest and to close with a summary of key points. Dave?
Dave Regnery: Thanks Chris. Please go to slide number 14. We have covered the main points of our guidance earlier in the presentation, so I won't spend a lot of additional time on it now. The objective of this slide is to lay out how to think about organic growth and leverage and the impact of the acquisitions. It also provides some helpful modeling guidance elements outlined on the bottom of the slide. The key takeaways are that we are expecting strong organic growth, leverage and EPS and that M&A adds additional revenues and modest EPS accretion in 2021. Please go to slide number 15. We want to provide an update on transport markets, as we know this is a topic of interest for investors and analysts. The net takeaway is that our outlook for 2021 is largely unchanged from our prior outlook where we highlighted that we expect to see approximately 26% weighted average market growth for transport Americas and approximately 8% weighted average market growth for transport EMEA. While ACT has raised our outlook slightly for our North America trailers about 1%, from 39% growth to 40% growth, they modestly lowered their outlook for truck, which nets out to be a wash on total growth. EMEA is in a similar boat with IHS lowering their 2021 forecast slightly but not enough to shift our view. In total, we have seen very strong demand through the first quarter in both transport markets and we think that ACT and IHS have called the markets about right for 2021, which means transport globally should have a very strong year for us. This is consistent with our prior 2021 view. But I would say, we have greater confidence after our first quarter performance and our growing backlog. The other element I wanted to highlight for transport North America is that ACT has increased their trailer forecast for fiscal year 2022 to 51.1 thousand units, which represents an increase of about 13% over their 2021 forecast. While on the subject, we are occasionally asked about the historical cyclicality in the North America trailer market. Data would suggest the patterns have changed. The North America trailer market took a step-up in 2015 and has been above 40,000 units ever sense with only one exception, 2020. 2020 saw market declines intensified by the pandemic. So I am not sure how informative it is about the future. The driver lodge, driver shortage and added economic activity appears that fundamentally shifted the markets to new levels above 40,000 units, excluding economic disruption. ACT's forecast for 2023 is also at the mid 40,000 unit level. If they are correct in their forecast for 2021 through 2023, it will be a eight of nine years where the North America trailer market has been in the mid 40,000 unit range, plus or minus 10%. Net, 2022 and 2023 are shaping up to be strong years as well. I like to now turn the call back to Mike for closing remarks. Mike?
Mike Lamach: Thanks Dave. Please go to slide 16. Energy efficiency and sustainability megatrends are only growing stronger and we are uniquely positioned to deliver leading innovation that intersects with these trends and accelerate the world's progress. And we are not only focused on investments in innovation and growth, but also on investments in our business transformation. We are on track to deliver $300 million in savings that will continue to improve the cost structure of the company and enable additional reinvestment to expand margins and further strengthen our ability to outgrow our end markets. When combined with the long term sustainability megatrends underpinning our end markets, our exceptional ability to generate free cash flow and balanced capital deployment of 100% of excess cash over time, we are well positioned to continue to drive differentiated shareholder returns. I have said that Trane Technologies has the essence of a startup with the credibility of a market leader. That unique profile fosters a culture of inclusion, ingenuity and performance that delivers results as we demonstrated in the first quarter. It's this type of passion and purpose that sets Trane Technologies apart and it's how it will change the industry and ultimately change the world. And now, Chris, Dave and I would be happy to take your questions. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Jeff Sprague with Vertical Research Partners. Your line is open.
Jeff Sprague: Thank you. Good morning everyone.
Mike Lamach: Good morning Jeff.
Dave Regnery: Good morning Jeff.
Chris Kuehn: Good morning Jeff.
Jeff Sprague: I just wondered if you could just dig into kind of the price cost dynamics a little bit. I am not surprised to hear you are nicely ahead of the curve in Q1. Just a little more color on the year. It sounds like you expect to stay positive all year long. But is there any particular point and I am thinking perhaps Q2, where actually you end up on the negative side of this as price is catching up? You are ready to price to catch up, that is?
Chris Kuehn: Hi Jeff. This is Chris. I will get started. Thanks for question. So yes, Q1 we did see particularly strong price cost in the quarter. When thinking about our first round of price increases, they went effect is in November and January, really just trying to get ahead of what we saw to be the rising material inflation coming into 2021. With that, that helped drive some really strong price cost in the first quarter. But for the balance of the year, we are really seeing from Q2 to Q4 that price cost about really being flattish. We have announced and put into effect the second round of price increases here in April. But continued material cost inflation has us continue to climb up as well. So we are really seeing the balance of the year that being roughly flat which we continue to manage and monitor where we can. Material inflation, we got our playbook. They were executing well at this time between our copper locks, 70% of that is locked in any point of time. The steel pricing and roughly a six month lag we see in terms of steel pricing. We are still executing the playbook. But I would say, for the balance of the year, we are seeing that really moderating and becoming flattish.
Jeff Sprague: Great. Thanks.
Dave Regnery: The other thing I would add to that, Jeff, this is Dave, is that our innovation really helps us with price realization as well. So as we have a really robust pipeline and we keep on executing on our new product launches, it's always nice to go to a customer and tell them about the value that you have created and how this solution could add to their bottomline.
Jeff Sprague: And just secondly, Mike, on the strategic angle, you are not interested in raising our capital deployment and obviously the cash flow is there and looks solid. Is your confidence level on finding interesting M&A rising here? I understand if it doesn't materialize you toggle to share repurchase. But just interested in your kind of visibility and confidence level on the M&A front?
Mike Lamach: Yes. Jeff, it starts with really confidence in earnings and the ability to turn it into cash. And so it's really the commitment we have had for a long time about deploying cash to shareholders over time. And so the confidence there on $2.5 billion is really that. Further, there is a strong pipeline. We are very, very disciplined about how we look at acquisitions. We still feel the intrinsic value of our own share price offers opportunity. So I am confident that one way or the other, we will split it. But we will be able to spend it. But as I said on the last call, the pipeline is robust and I am sure that we will find some value before the end of the year there.
Jeff Sprague: Great. Thank you.
Operator: Your next question comes from the line of Julian Mitchell with Barclays. Your line is open.
Julian Mitchell: Hi and good morning.
Mike Lamach: Hi Julian.
Julian Mitchell: Maybe I just wanted to clarify on organic sales growth. So you took out the guide for the year, about three points, I think. Maybe just help us understand, it sounds like transport refrigeration there will change, sort of waiting of that commercial versus resi HVAC. And within Americas commercial HVAC, flat sales in Q1. How do you see that playing out from here?
Dave Regnery: Yes. Julian, how are you doing? This is Dave. I will start and Mike and Chris could add in. If we just really go around the global, overall we expect a continued market improvements with the increased global vaccination rates in 2021, but at a global level, that is. If you look at Americas commercial HVAC, we will start with, we see a nice demand in data centers and warehouses and we have seen that for a while now. But I would also tell you that the education verticals are also showing strength. So we are pretty happy about that. Hospitality is also still weak. However healthcare is showing some strength. So it's kind of mixed right now, but you have got some leading indicators. ABI is strong, which is a good read for us in the future. One point I would point out in the Americas, if you look at the incoming order rates, we run it with the Americas. So it's North America and Latin America. If you look at just North America, their incoming order rates were up mid single digits where Latin America was actually down mid teens. So we are seeing some strength in our commercial business in the Americas. You go to residential, continued strong bookings, continued strong backlog going into Q2. That's going to be a story of first half or second half. First half will be very strong. Second half, we have some very tough comps that we are going to be facing there. But overall, we are still positive of our residential business. If you look at the full year, the prevailing consensus is that that would be up in the mid single digits. And we have no reason to disagree with that. Transport, I talked about. It's going to be a strong year. And the nice thing about that is, if you look out into 2022 and 2023 forecast, that strength continues, which is a good sign. EMEA, it's really dependent. We still are seeing some lockdowns occurring. But we are seeing nice results there with our innovation and really around our heat pump, especially in the commercial business with our heat pump solutions that are really making a benefit to our customers. EMEA is another one you have got to break that down. If you look at Europe, our incoming order rates in Europe were up mid teens and actually our incoming order rates in the Middle East were down mid single digits. Asia-Pacific showing strength in China for sure. Data centers, electronics, pharma, healthcare, nice strength there. Rest of Asia has been slow, right. And we are hopeful that vaccine, can start to pick up their vaccine distribution rates and that it could bounce back. But if you look at the first quarter incoming order rates for the rest of Asia were actually down in the mid single digit range. So a lot of strength there in China. So hopefully, that helps you with seeing what we are seeing for the outlook.
Julian Mitchell: Yes. That's perfect. Thank you Dave. And then maybe a broader question around that commercial HVAC business, sort of equipment versus service. I understand there is a push to do a lot more contractual type service to keep the attachment rates high, trying to deliver to customers who sold for that sort of IAQ versus energy efficiency conundrum. Maybe help us understand where Trane is on that service push within commercial HVAC and what the uptake is from customers for any kind of newer service offerings?
Dave Regnery: Yes. We continue to see strength in our service business. It was up low single digits. Attachment rates, very high on the applied systems side. Indoor air quality, continue to see tailwinds there. The neat thing about indoor air quality is not only are we seeing indoor air quality audits being conducted in the education vertical, we are also seeing an uptick in the offices. Vaccines are being distributed and people are thinking about getting back to the office. We are seeing a nice uptick in our office inquiries and actually the activity. As far as your question about like indoor air quality and energy efficiency in buildings, I think you are aware, we do a very comprehensive audit. We have the day one which islets make sure the building is safe as possible today. Day two, let's do long term infrastructure improvements that you could make to not only make your building healthier, but also to reduce the energy intensity of your building. And we are seeing a lot of traction with those audits and w are starting to see the day two activity come through, especially that combined with some of the stimulus funding that's starting to flow in this education vertical.
Mike Lamach: Julian, I would add a little bit by saying, we had a view that we thought would be a tailwind, 1% to 2%, with IAQ going forward. That's turning out to be right in last quarter and this quarter and it's near to the top of the pipeline and for the balance of the year. It's been pushing towards a 2% end of that range versus the 1% of that range. Over time, it's going to be difficult to necessarily parse that out as you get more design and more standards being written in a way that that's written in as opposed to a retrofit. But for now, we are seeing that pan out to be 1% to 2%, kind of trending closer to the 2%, which gets to the question as well about what's different and what's changed, an example of why is North America commercial a little bit better. It's because we are seeing strong uptick on the offerings that we have got.
Julian Mitchell: Great. Thank you.
Operator: Your next question comes from the line of Steve Tusa with JPMorgan. Your line is open.
Steve Tusa: Hi guys. Good morning.
Mike Lamach: Good morning Steve.
Dave Regnery: Good morning Steve.
Chris Kuehn: Good morning Steve.
Steve Tusa: Just to follow up on that. I mean, you guys had highlighted, I think, last year that you did have an Americas weakness in services and parts impacted due to lockdowns. I would have thought the comp was a bit easier and you were going pretty nicely in the second half of last year. So up low single digits on that side of the house. And carrier, I think, put up double-digit growth or something in services. Anything going on there with regards to timing? Or is this just kind of -- can this business be lumpy? I had thought of it as being a little bit more consistent?
Dave Regnery: Yes. Steve, I think quarter one last year, you didn't really have at point in time service lockdowns and the complete absence of being able to service buildings physically. That really occurred quarter two and on. As I recall, it was pretty strong.
Mike Lamach: It was strong in Q1.
Dave Regnery: Yes. Strong in quarter one as well. I would say, around the world, as buildings were closed and you are delivering more digital services than physical services. So that changed. And you are seeing just a constant drumbeat towards more and more of the openings with the exception of important economies like India and Brazil, parts of Europe, as an example. Some parts of the Middle East. But it's a healthy recovery. It was a good sign for us to see growth in quarter, quarter one and service again really continuing along that pattern. And it doesn't appear that we are really going to see any fallout from a contractual basis at this point relative to our service base, which is the other thing you worry about when you see the economy stamping back and we seem to be renewing those relationships in those contractual agreements in an effective way.
Steve Tusa: Got it. And then just to clarify the follow-up. I didn't quite get the answer to Julian's question on what precisely you are raising the guidance around? What revenue source? Just simply, you are raising the guidance around? And then just one nitpick, will be positive in that 20 to 30 basis points range this year all-in on price cost? Or will it end up being kind of a normal year on price cost spread? Thanks.
Mike Lamach: Steve, I will take it. So for the full year revenue increase, call it, three points, we had a strong first quarter. So we are passing that on to the full year. We have got price increases to cover material inflation. That's being baked into the guide. And we are still HVAC predominantly company, right. The first quarter is kind of our lightest quarter of the year. So we have got some visibility into the second and some optimism around the second half of the year. So that's ultimately is driving the three point increase we are seeing on revenues right now, the Q1 beat pricing from actions here to control material inflation and then a little bit more optimism we are seeing in the second half. Your other question was on price cost. Yes, I think we expect that spread is going to narrow and we expect it will be flattish. Could it be net positive, 20, 30 basis points in the full year? It could be. But this is a volatile area, as we know. We are monitoring and tracking material inflation. And I wouldn't roll it off the table if we needed to another set of price increases depending on where that goes. But it could be net positive. But it would be kind of in that very low 20, 30 basis point range to flattish on the full year.
Steve Tusa: Great. Thanks for the details.
Mike Lamach: You got it.
Operator: Your next question comes from the line of Andy Kaplowitz with Citigroup. Your line is open.
Andy Kaplowitz: Hi. Good morning guys.
Mike Lamach: Good morning Andy.
Dave Regnery: Good morning Andy.
Chris Kuehn: Good morning Andy.
Andy Kaplowitz: Mike, so I know we aren't even halfway through the year and likely still in the early in the transport up-cycle. But as you know, many investors get concerned regarding the cyclicality of the business. And you just talked about the strength that could last into 2022 and 2023. So maybe you could talk about the durability of the strength you are seeing now? How much of the underlying trends that we are seeing last mile, cold storage, maybe more significant China-related growth are helping you. So as you go out into the out years, there still could be good demand in that business?
Mike Lamach: Yes. Thanks Andy. I will let Dave start that out and I can put a little color on the back-end, maybe.
Dave Regnery: Yes. I mean, for sure, the trailer demand in North America, as I said earlier, I think there's a new tipping point there. It's 40,000 units, eight over the last nine years. So this is no longer a business that's going to dip down at least in North America into the 20s range. Thermo King is a very diverse business right now. So we are very happy with the growth rates we are seeing in trailer not only in the Americas but also in Europe. But because of our diversification, we are seeing growth in other areas as well, especially on the electric side with home delivery. We are very excited about some of the new products we have been able to develop there that are in the market today and more to come. And we are also this whole refrigerated container solution, really helping with the vaccine distribution and storage capability. And as vaccines now supply is starting to outpace demand, these vaccines, especially the mRNA ones need a place to be stored. And we have solutions for that on a global basis. And we are certainly helping out in areas like India working with the World Health Organization to make sure that they have the products that are required to make sure that they can get as many people vaccinated as possible.
Mike Lamach: Yes. Andy, the volatility always seems to come in the booking area, not so much on the revenue side of this thing, as we look at the heartbeat of our operations and units, it stays fairly constant. We don't get the volatility from a revenue perspective. And Dave's points are exactly on. I think what you are seeing here with some of the larger trailer customers, particularly in the U.S. would be looking out over a year and getting their orders in over the period of a year. So maybe that's a little bit different. Although the larger customers tend to give you an indication of what they are going to do for the year. Here, I think we have got a customer just lining up for firm orders earlier in the year.
Andy Kaplowitz: Mike, that's helpful. And then recently, you suggested that your opportunity for the electrification of heat could be $2 billion versus we initially thought a $1 billion opportunity in Europe and China, maybe even you U.S. But maybe you can give more color, how much for instance of your EMEA revenue at this point is heat pumps? And how fast is it growing? And what are you thinking in terms of growth this year? And what kind of opportunity could be in China or the U.S. over time?
Dave Regnery: Yes. When you say electrification of heat and heat pump, Canada became the poster child for that because it's an easy concept for people to understand. These are complex systems that really are combined boiler plant and chiller plant into a single unit which is capable of doing air-to-air or air-to-water, you know any combination you can think of using heat sources that would move from sewage to seawater to lake water to you name it. And so we are seeing this applied both on a building level, even on a city level. And we are seeing great wins there.
Mike Lamach: It is, by far, the fastest growing part of our business. And I believe it's going to be a meaningful part. It is a meaningful part of business today. It's going to continue to be a meaningful part. So yes, I think it's at least a couple billion dollar opportunity globally. It's centered right now primarily in Western Europe. We are seeing some implementation in parts of China. And we think that there is further opportunity, commercial opportunity, moving into the colder North American climate. So over time, it just seems to creep further and further north, not just because the temperatures are getting warmer but also the technology is getting better to be able to work with lower ambient temperatures or hot ambient temperatures and make it work in the reverse cycle. So very positive on that. Dave, you want to add any color?
Dave Regnery: So I mean the only thing I would add, Andy, is just it's, as Mike said, today 95% of buildings operate with two silos, right. The cooling side would be the chiller plant and the heating side the boiler plant. But by combining them, you are really able to have an impact on efficiency. A conventional system has a, what we call, total energy ratio of two, meaning that every unit of energy that goes in, you have two coming out. When you are able to combine these two with our heat pump technology and our sophisticated controls and I won't go into detail for competitive reasons, but we are able to get total energy ratios of like four times conventional systems. So the value prop to our customers is very, very creative for them. And the value to the environment, these are very, very green solutions. So this is big market today for us in Europe and it's expanding very quickly.
Mike Lamach: The discussion today, it's happening in California, in North California. It's happening all over the world. And I think this is going to be a very important global strategy for net zero emissions in buildings, would be using the electrification of heat, with the absence of fossil fuel boilers. And the more you can green the grid, as they are doing particularly in Europe, you are going to get to a net zero solution on day one. And as we put sort of the next generation refrigerants into these systems, we are offering complete net zero solutions when there's sustainable power coming off the grid.
Andy Kaplowitz: Very interesting, guys I appreciate the color.
Mike Lamach: Thanks Andy.
Operator: Your next question comes from the line of John Walsh with Credit Suisse. Your line is open.
John Walsh: Hi. Good morning everyone.
Mike Lamach: Good morning John.
Dave Regnery: Good morning John.
Chris Kuehn: Good morning John.
John Walsh: Hi. So I was just wondering, obviously you gave us the help on the incrementals. We have really unusual comp coming here in Q2. How would you think about the business? Should we think about kind of sequential growth rates? Just I mean you talked earlier about the two-year growth stack. So you could even argue go back three years. Next quarter's even easier for you. But how would you help us think about what kind of lift we should see here in the second quarter?
Chris Kuehn: Hi John. It's Chris. Yes. I think about the second quarter where organic revenues are probably around that mid teens range. When you add in acquisitions, they are driving about a 1.5 of growth for us for the year and that's continuing. We saw that in Q1 and we will see that again in Q2. When we stack organic and acquisitions together, we are probably in the mid to high teens range of revenue growth. And then we are expecting that continued strong organic leverage. We would expect about 30% leverage here in the in the second quarter. When you factor in the acquisitions, it's probably high 20s on a reported basis for leverage. So that's how we are kind of thinking about the second quarter right now. Still a little early to call the third and fourth quarter. Again, second quarter would be a big quarter for us as HVAC business but hopefully that gives you are little bit of context around how we are thinking the second quarter can shape up.
John Walsh: Yes. Thank you for that. And then, I think there's obviously a lot of funding right and excitement around not just K-12 as you highlighted but it's broadening. Is there anything else you look forward because of supply chain or labor that would kind of govern the growth? Or anything that would slow down the pace of being able to do these energy efficiency and IAQ. kind of retrofits?
Dave Regnery: Yes. John, I will start on the supply chain. I would tell you that we have a pretty robust process managing our supply chain. We have very detail roadmaps we developed early on during the pandemic. And we continue to execute to those. So I won't say it's easy because it's not. But I would tell you, our team is doing a great job of managing through any kind of constraints to make sure that we have the proper components so that we could manufacture our products and meet our customer's demand. So as far as the labor, I think was your second one. Again, yes, it's tight but we are managing through and we have some great processes in place that allow us to do that.
Mike Lamach: Yes. John, I think from our own internal labor perspective, we are fine. I think when you think about sort of the broader context of skilled trades doing large construction and infrastructure work, particularly in the U.S., if we were to pass a major infrastructure plan in the U.S., you tend to have less skilled trades people come back in after every downturn in the economy. We saw that in the 2008, 2009 time frame and it had the fact of taking institutional projects cycles out a bit longer to get them completed. And my sense is, you could se the same thing here which frankly in our world, it's fine. It's just really extends the new construction or retrofit portion of institutional construction, it extends that a little further.
John Walsh: Great. Thanks for taking the questions. Passing along.
Operator: Your next question comes from the line of Josh Pokrzywinski with Morgan Stanley. Your line is open.
Josh Pokrzywinski: Hi. Good morning guys.
Mike Lamach: Good morning Josh.
Dave Regnery: Good morning Josh.
Chris Kuehn: Good morning Josh.
Josh Pokrzywinski: Just a question on some of this IAQ assessment and day one versus day one plus another number? I guess how much are you guys able to do upfront in sort of a timely manner as these customers want to reopen versus stuff that might wade into 2022 or even later just as the function of kind of natural bottlenecks in the process? Like, is this something that lasts two to three years with maybe more on the backend? Or is more of the activity front-end loaded? Just thinking about folks who want to get into offices basically right now who might need to do something a bit more comprehensive, clearly there's going to be some sort of band-aid approach in the short term?
Mike Lamach: Yes. Josh, when you think about non-commercial construction and you think about the 400 billion square feet of space around the world and you are going to see around people trying to figure this stuff out. And when you think about our portfolio of hundreds of thousands of customers that need help, if not more than a million that we have, it's very difficult to average this and so we always kind of think about things more on archetypes. You have got institutional customers that are critical to making the economy work. Think about healthcare, think about education. If there are healthy healthcare systems and there are healthy school districts or universities, they are going to move quicker. Healthy meaning, if property taxes or tax or bonds could be passed that may help to some extent. In other extent, if there would be stimulus that would be available to K-12 and higher education, that's going to help people in terms of progress. But it's very, very difficult. You could think about movie theaters, right. A year ago, six months ago, right, there wasn't really anything happening in terms of any investment going on in movie theaters. But as you think about those opening up, you are going to find that something like that. large retail complexes, retail malls are going to need to reengage with this stuff. There is no averages here. It really comes down to some archetypes between maybe institutional, healthy versus unhealthy commercial, perhaps markets that are healthy would be data centers, warehousing versus those that are going to be challenged which might be retail mall complexes in some regard to light commercial which you are seeing higher vacancies there. No averages there. But what we do have is a very good set of pipeline management tools and analytics that go into building pipelines from the ground up, from individual sales people in the field. And so there's a strong sense about what's in the pipeline and what the win rates, close rates might look like and the timeline there, which is what gives us some confidence to have some visibility through this. But it's not through averaging. And even the Dodge data, frankly, disconnects from our own data because of that, part of it because only 15% of our revenues can be explained through Dodge data and partly because we have got really good data coming through with the entire global sales force using more sophisticated pipeline tools to give us the actual details around pipeline and orders. Long winded answer to your question, there is no averages.
Josh Pokrzywinski: Got it. And then as you just think about the mix of business today and maybe 1Q because the hot season was not the best example. But is this still sort of you know kind of post crisis management where folks are catching up on the late activity or want to talk about indoor air quality? Or are we sort of back to the normal business of replacing things that are at the end of life, doing energy retrofits, kind of the core HVAC businesses we have known over time. Thanks.
Mike Lamach: You are perhaps on the front-end of latter part which is some return to normalcy in some parts of the world, some parts of the economy, frankly. But largely, we are still very, very focused on the indoor air quality constraints, getting people to open safely, figuring out where investment dollars from our customer should be spent with regard to the facilities. And so really early innings, frankly, around reopening, in my mind.
Dave Regnery: No, I totally agree. And that's why I made the comment earlier about office vertical. We are now starting to see a lot of activity there where six, nine months ago, we weren't saying a lot of indoor air quality audits there. But as people now are realizing that hopefully we could all get back to the office relatively soon, they need to start thinking about reopening. So that's driving a lot of demand there.
Mike Lamach: Yes. Six to nine months, Josh, we would have been advising our customers on the kinds of technologies and things that they could do, really educating the marketplace largely on what the potential strategies could be versus actually the commercial office space now getting in and helping them execute those audits and those plans. So it's moved from conceptual, what do I do, to specifically, what am I going to do open this facility and building.
Josh Pokrzywinski: Great. Thanks for the color. Good luck guys.
Operator: Your next question comes from the line of Scott Davis with Melius Research. Your line is open.
Scott Davis: Hi. Good morning and I will echo some of that congrats on great start to the year.
Mike Lamach: Thank you Scott.
Dave Regnery: Thank you Scott.
Chris Kuehn: Thank you Scott.
Scott Davis: I guess when you see this kind of growth, it begs the question of, at what point do you have to take CapEx up to another level? And perhaps a better question to ask really is what kind of growth can you handle without spending money, meaning after all these years of implementing Lean and being such a productive company overall that has -- can productivity, I think, which kind of probably suffered a little bit during COVID, the high times of COVID, but can productivity step up and help deliver the kind of unit volume that perhaps prevents you from having to spend a ton of capital on the backside of this?
Mike Lamach: Scott, what I love about Lean is, it never stops. The old adage, you don't have to be bad to get better, really applies. One of my favorite stories was in our Tyler operations in residential, where we had the roof collapse on a part of the production system there. Team goes to work. You are working weekends and mornings and nights and shifts. And comes back with adding 20% capacity to a smaller footprint. And it's the sense of really challenging impossible. We say it around the company, it's true. And I don't see it. We are looking at scenarios. Obviously, TK is one where we are seeing a strong snapback in orders. But we have got playbooks built for different volumes in a lot of our facilities, still the opportunity to run a third shift or a weekend. So we have got a lot of capacity, theoretical capacity that can be turned into actual capacity very quickly. So I do not see the need for us to add for the sake of handling demand. I do think there is an effort that we are taking on to think about resiliency differently inside the company. And you could think about that in the context of climate change and other risks that would be involved with all companies. But where do we need to have resiliency in the supply chain or additional resiliency in our own manufacturing operations. So that resiliency would be more of what we are looking at versus pure capacity.
Scott Davis: That makes a lot of sense and it's encouraging. And actually, you touched on what my follow-up question was going to be that a lot of companies, including Trane, are out there with emission targets and other kind of ESG commentary, which is great, but not always a lot of details around it. And just high-level, because this is probably an entire day conversation overall, but how do you get to zero emissions? I mean what's the playbook of when you think about, I mean you already run pretty efficient productive factories. They need electricity. You can't move to all solar overnight. How do you get there? And does it require spending money? Is it iterative and just takes time? Are they step change things? I mean, again, relatively high-level due to time.
Mike Lamach: Yes. Scott, you are right. It would take a day and this is what our passion is. What I would tell you as an initial step, would be to ask investors to go to our website and look at our just published ESG report. It's about 100 pages long. But there's short ways to kind of recap and go through it. Get a sense for the totality of what we are doing and the metrics. And you will find a tremendous amount of transparency there about sort of where we are and where we are going. So it lays out that roadmap specifically that you are asking. And so we are really excited about this and we think that as investors kind of dig into that, you will get an absolute sense for the answer to your question. So the ESG report just published on our website, please take a read.
Scott Davis: I can't wait to read it.
Dave Regnery: Thank you.
Scott Davis: Kind of joking. I will definitely read it. But there maybe a peer or two involved in the process.
Mike Lamach: Fair enough.
Scott Davis: I will pass it along, guys. Good luck.
Mike Lamach: All right.
Operator: Your next question comes from the line of Nigel Coe with Wolfe Research. Your line is open.
Nigel Coe: Yes. Thanks. I can well imagine Scott going through 100 pages of that ESG report up here. So thanks for the question. So on residential, we haven't spent a lot of time talking about that. It's obviously very strong trends. We have heard several channel partners and several of your competitors talking about, with stimulus dollars in pockets, how some equipment is being replaced as opposed to maybe repaired in normal times. Do you think the strength we are seeing today because of stimulus, et cetera, is taking some demand out of 2022 and maybe 2023 into this year? Any thoughts on that repair versus replace cycle?
Mike Lamach: Yes. I will start. I mean we had a very strong quarter, obviously for res. And I would tell you that, not to talk too much about Q2, but that April was another strong month as we thought it would be. I don't believe that it's taking out of the future. I think people are working from home. They realize that being in a comfortable environment is important. We are seeing an uptick in the SEERs that we are selling. So people are going for the higher SEER product. We don't see that really, really pulling ahead, if that's where your question is, demand from 2022 and 2023.
Dave Regnery: Yes. I think you see a lot of sort of optimism at this point, economic optimism out there. You are finding, I think, as you look at unemployment rates going down and really reaching, at some point, probably again at a very low level. And you compound that with this whole future of work that we are looking at and we have talked about it in the past, even in our own company. You are finding people with jobs and the likelihood of having a job with increased home values, with the notion that they are going to be spending more time at home. So again, I think this is just really an upgrade cycle phenomenon based on what we are seeing with COVID. But I don't really see it changing and pulling forward replacement. I think people are just opting right now to replace with whole systems to higher SEER systems. And I think that as you get into 2023 and some of those out years, you are going to find, I am sure we will see another change in regulations there and it's going to drive again more toward full system replacements with more expensive and more efficient systems. So I think it will be a good business, probably a GDP-plus business over the long run, possibly when you see regulations really impacting that as they have over the last decade.
Mike Lamach: Yes. And just to clarify too, you got to look at them in years, right. You can't really look at first half last year because it was really low and then the second half last year was really strong. In totality, low single digits to mid single digits is kind of the range that it's been in. So the swings happened really by the quarters which were driven by the pandemic.
Nigel Coe: Right. And then a follow-up on M&A. We just saw for Melrose sell their HVAC business for, I think, 11, 12 times EBITDA. I mean theoretically, that would have been a very sort of down the middle acquisition to you at very accretive rates, et cetera, et cetera. How should we think about philosophically where you are looking for M&A? Are you looking at future trends, electrification, software digitalization, et cetera? I mean how should we think about where you may land on your M&A strategy?
Mike Lamach: Well, first of all, Simon and the Melrose team did a great job with that business. It's a bit of parts that would have ranged from bathroom exhaust fans and kitchen hoods, all the way through to some interesting data center technology. So obviously, that's something that we would have looked at very closely and done our homework around that. Ultimately, it's part of that business which would have made great sense for us and parts of the business which really wouldn't have made sense for us. So I think that's indicative of just staying disciplined around the process and kind of what we pay for things. But yes, I think the pipeline is robust. I mean, again, 88%-plus of what we look at is strategic in nature, meaning it's something that would have been discussed in our strategies before it becomes something that shows up on an M&A screen. There's always 20% of the ideas that are out there that come from different sources and people. We don't think of every good idea nor do we want to. So we look at those as well. So obviously, the activity is high, valuations are relatively high and we are just going to be selective through that, Nigel. And my hope is we can lean further into it and find the right deals for us.
Nigel Coe: Okay. Thanks Mike. Thanks Dave.
Mike Lamach: Thanks Nigel.
Dave Regnery: Thanks Nigel.
Operator: Your next question comes from the line of Joe Ritchie with Goldman Sachs. Your line is open.
Joe Ritchie: Hi. Good morning everybody.
Dave Regnery: Hi Joe.
Mike Lamach: Good morning Joe.
Chris Kuehn: Good morning Joe.
Joe Ritchie: Hi. Mike, maybe just following on Nigel's question there. You know the pipeline is robust. You also had JCI announced the acquisition of Silent-Aire to get bigger on the data center part. When you think about your portfolio, are there any pieces of the portfolio or end markets where you feel like you need to get bigger to get after the opportunity, whether it's in data centers or warehousing? And I know you have been very enthusiastic around the heat pump opportunity.
Mike Lamach: Yes. Joe, thanks for the follow-up because that's part of the dilemma. The answer is no. There's not any gaps in the portfolio. There's nothing strategically that we feel is lacking. And so there's a more discerning eye spent on it. And of course, we don't want to do M&A for the sake of M&A. I think that could be value destructive. So the answer is no. So therefore, we found novel technologies that just need some scale and a home to develop them or we found potentially bringing inside the channel partners that we may not have been running the service business and therefore, we can do an effective job running the service business and with our systems. So those have been what we have seen. Again, we are looking at both channel and some of the technologies that are out there, but some of the scale here can be smaller. Interestingly, I think through the pandemic, I always talk about sort of the largest four HVAC companies and then kind of players five through 15. I do think that there could be consolidation still in five through 15. But one of the things I think we are realizing through the downturn is it's a much heavier concentration through the pandemic of the top four. And I think it makes a lot of that merger potential and opportunity that's here. I think it's more restrictive. I think it certainly has got more hurdles to clear. So you could find value in some of the more sizable company, sort of, five through 15 or five through 80, because they actually go that far, if you incorporate some of the Western European, which is very fragmented. There's some players there that they get fairly small. But those are the opportunities, I think, that might be of scale for us.
Joe Ritchie: Got it. That's super helpful, Mike. And maybe just a follow-on question. There's been some discussion already around price cost. It seems like you are managing it really well this year and we are in a pretty tough inflationary environment. What do you think is different for you guys this time around versus maybe what we saw like the 2017, 2018 time frame and your ability to really manage through this well?
Mike Lamach: One thing is, really, if we go back now really 10 years, the one thing I can tell you is that operating system is not different. And so we really had great success over long period of time in doing that. But the difference back in that really volatile 2016, 2017 time period was that it became very speculative in areas like copper. And it was something that it was very difficult to really understand the veracity at which it was changing and the speed it was changing. Here, the visibility towards the changes have been little bit easier for us to recognize and see and a little bit more capability switching between some of the commodities. Copper and aluminum has helped us over time kind of mitigate some of that as well. So the systems have not changed. The topline, margin expansion, operating system fundamentals in the company are exactly the same, just a bit more predictable in the rate of change here versus the volatility of the last one.
Joe Ritchie: Got it. That's helpful. Thanks guys.
Operator: Your next question comes from the line of Gautam Khanna with Cowen and Company. Your line is open.
Dan Flick: Hi guys. This is Dan Flick, on for Gautam. Thanks for getting me on.
Dave Regnery: Hi Dan.
Dan Flick: So just one question here. I was hoping you could explain some of the moving pieces on the operating leverage target for the remainder of the year coming down to 30%, which was so strong in Q1? And whether is that related to absolute R&D dollars coming up? Or is it all COGS? Any pieces on that would be helpful.
Chris Kuehn: Hi Dan. This is Chris. Yes, we had strong leverage in the first quarter. But as we think about the balance of the year, we are still targeting 30% operating leverage, consistent with our prior guide. For us, when I think about the performance flywheel we have within the company, let me start off with the first step and the first step is really reinvesting. We fully expect to have stronger investments, Q2 to Q4. We had strong investments in the first quarter. But those are really going to ramp up as we move throughout the year as well. We have talked a bit about the innovation pipeline where we are seeing new product development. All of that combined would really materialize in a strong step-up in investments for Q2 to Q4. Second, that price cost spread is going to narrow. So we are going to see price, but we are going to see cost roughly approximating price, Q2 to Q4. So those pricing increases don't bring a lot of leverage with that, of course. So that's going to be a headwind versus where we were in the first quarter. And then ultimately, we are still managing through the return of some temporary cost takeouts from last year. That was part of our guide three months ago for 30% organic leverage. It's still part of our guide today. So all in, 30% for the balance of the year and we raised the full year to 35%, just given where we stood in the first quarter
Dan Flick: Cool. That's helpful. Thank you.
Chris Kuehn: No problem.
Operator: Your next question comes from the line of Deane Dray with RBC Capital Markets. Your line is open.
Andrew Krill: Hi. Thanks. Good morning. This is Andrew Krill, on for Deane. I wanted to go back to resi HVAC. And can you give a sense of sell-through you saw in the first quarter with distribution? Just was that close to the plus 30% you cited for yourself and for sales? And then, can you just give us a sense on how you see inventories heading into the peak selling season? Thanks.
Dave Regnery: Yes. This is Dave. I will start. I think most of you know our resi business, think of it as 50/50. 50, were direct. 50, we sell through the independent wholesale distributor channel. On the IWD side, we saw the sell-through was strong, okay, in the 20s. So we saw some strength there. Obviously the sell-in was stronger than that, as they filled some of their barns and their inventory. We are not seeing a significant build in their inventory levels from the visibility that we have. We have some pretty good visibility there. So it was just a solid quarter for our resi business. Our teams performed well. They executed to customer demands and we fulfilled and hopefully made a lot of homes more comfortable.
Mike Lamach: Yes. The data that I saw, I think, it might have been like, were three months. Let's just use that. I think it's pretty close to being what you think would be sort of a run of the mill inventory level would be. It might be 3.5 months. So there might be two weeks, which I think is prudent basis where we were last year and some of the underestimation that distribution had. So it's marginally increased, but not enough where any flags would be raised.
Andrew Krill: Got it. It makes sense. And then just a quick follow-up. We are going into overtime a little. But just cash flow in the first quarter looks very strong, a lot of times actually used. Just anything you would spike out there and then any other big moving parts to be aware of as the year progresses? Thanks.
Chris Kuehn: Yes. This is Chris. No, we are happy with first quarter performance. I think it was 96% free cash flow conversion to earnings. So high-quality earnings there. I would say, we continued to make structural improvements around our working capital where, I think it was around 1.5% at the end of the first quarter. I think a mid to long term target for us is going to be a little bit higher than that and we are going to modestly invest in inventory here through the year. But our days sales have improved from two years ago. Our days payable have improved from two years ago. And even inventory turns over the last two years have improved. So we continue to make, from an operational excellence perspective, improvements in working capital. And really, you are seeing that play out here in the first quarter. Full year, we are still guiding to greater than or equal to 100% of net earnings, cash flow and 100% in net earnings. So I think we have got the structural ability to really hit those numbers, if not, slightly exceed for the year.
Andrew Krill: Thank you.
Chris Kuehn: Thank you.
Operator: There are no further questions at this time. I will now turn the call back to Zac Nagle for closing comments.
Zac Nagle: I would like to thank everyone for joining on today's call. As always, Shane and I will be available for today and for the coming days to answer any questions that you have and we certainly look forward to connecting. Be safe and we will talk soon. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.